Operator: Good afternoon. And welcome to the Cryoport Fourth Quarter and Full Year 2021 Earnings Conference Call. As a reminder, this call is being recorded. It is my pleasure to turn the call over to Todd Fromer, President, KCSA Strategic Communications. Please go ahead, sir.
Todd Fromer: Thank you, Operator. Before we begin today, I would like to remind everyone that this conference call contains certain forward-looking statements. All statements that address our operating performance, events or developments that we expect or anticipate occurring in the future are forward-looking statements. These forward-looking statements are based on management’s beliefs and assumptions and not on information currently available to our management team. Our management team believes that these forward-looking statements are reasonable as and when made. However, you should not place undue reliance on any such forward-looking statements, because such statements speak only as of the date when made. We do not undertake any obligation to publicly update or revise any forward-looking statements, whether as a result of new information or future events or otherwise, except as required by law. In addition, forward-looking statements are subject to certain risks and uncertainties that could cause actual results, events and developments to differ materially from our historical experience and our present expectations or projections. These risks and uncertainties include, but are not limited to those described in Item 1A, Risk Factors and elsewhere in our annual report on Form 10-K filed with the Securities and Exchange Commission and those described from time-to-time in the other reports, which we filed with the Securities and Exchange Commission. It is now my pleasure to turn the call over to Mr. Jerrell Shelton, Chief Executive Officer of Cryoport. Jerry, the floor is yours.
Jerrell Shelton: Thank you, Todd. Good afternoon, ladies and gentlemen. We appreciate you joining our earnings call today. With me this afternoon is our Chief Financial Officer, Mr. Robert Stefanovich; our Chief Scientific Officer, Dr. Mark Sawicki; and our Vice President of Corporate Development and Investor Relations, Thomas Heinzen. As a reminder, we have uploaded the fourth quarter 2021 in Review document to our website. It can be found under Investor Relations in the Events and Presentations section. This document provides a review of our recent financial and operational performance and a general business outlook. If you’ve not had a chance to read it, I would encourage you to go to our website and download it. I will provide you with a brief update on our business and then we’ll move on to answering your questions. We continue to successfully execute by having our client focus, embracing innovation, operating with excellence and certainty, and driving productivity. In turn, we delivered excellent results in 2021 as multiple engines of growth grew double-digit gains in revenue. Strong -- this strong performance was fueled by new product and services, geographic expansion, and a sharpening of our competencies across all our industry leading brands, specifically MVE and CRYOPDP. Having completed a financing in November, we closed the year in the strongest position in our company’s history with $628 million in cash, cash equivalents and short-term investments. This positioned us well to continue investing in the business and delivering strong growth in the years ahead. Our core business is strong and our team is executing at a very high level. This is reflected in our financial results with solid organic revenue growth of 34% in the first -- fourth quarter and total revenue of $222.6 million for the full year, which represents 183% year-over-year growth. During the quarter, we onboarded 311 new pharma/biopharma customers, revenue from our eight commercial agreements ramped on a global basis. We continued to build out our pipeline of potential commercial customers, with our total number of regenerative medicine clinical trials supported reaching a record 602, an increase of 14% from 2020. It’s worth noting that a record 74 of these trials are now in Phase 3. In recent months, there have been a significant milestones accomplished in regenerative medicine markets around the world, a total of 11 Cryoport supported BLAs or MAAs were filed in 2021. Currently, we anticipate an additional 19 filings and as many as four new therapy approvals, and an additional six label or geographic expansion approvals in 2022. Complementing this, we expect an additional 12 filings in 2023. Amongst other market drivers, this growing pipeline reflects the rising activity in the cell and gene therapies market, and the strong demand for our industry-leading comprehensive supply chains solutions for the life sciences. In short, we believe the stage is set for Cryoport to experience significant growth in 2022 and beyond. Expanding our geographic footprint was an important initiative in 2021, which we accomplished via acquisitions, partnerships and business alliances. As a result, we now operate 33 facilities in 15 countries, covering key biopharmaceutical regions in the Americas, EMEA and APAC. Today, we’re well positioned to support the increasing demands from our customers in the cell and gene therapy market throughout the world, and we’ll continue to expand our capabilities, competencies and footprint to meet the needs of this rapidly growing market we serve. We’re pleased with our 2021 results and we’ll continue to sharpen our focus on the cell and gene therapy markets, strengthen our brands with the ultimate objective of building out our market share leadership and achieving maximum value for our shareholders. Now we’ll be happy to answer your questions. Operator, please open the lines for the participants.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Puneet Souda with SVB. You may proceed with your question
Michael Jones: Hi. Yes. Michael on for Puneet. Great quarter. I just want to ask quickly if you could just offers some color on how MVE and CRYOPDP performed and if you could also guide us on growth expectation for the year. I know you’ve spoken to 50% in the past, is that something you expect to continue?
Jerrell Shelton: Yeah. Michael, of course, we don’t give guidance. So, but I will comment on your question. CRYOPDP and MVE had excellent performance in -- during the year, performing into the mid-20s -- the mid-20s growth rate year over year. So we’re very happy with their performance.
Michael Jones: Great.
Robert Stefanovich: I mean, just to add…
Michael Jones: And I have another one…
Robert Stefanovich: No. I was just going to add to it, if you look at the performance for the full year, Jerrell is absolutely right. If you look at the Q4 performance, we did mention, we had some slippage in revenue of about $2 million for MVE into Q1, just because of transportation and scheduling challenges that we have. So if you were to include that $2 million into our results also for Q2, you would -- Q4, you would see strong double-digit close to 20% growth rates quarter-over-quarter as well.
Jerrell Shelton: Yeah. That scheduling he is referring to had to do with shipping purely was finished goods that were not shipped because of third-party delays in transportation.
Michael Jones: Got it. I guess, since production and supply chain, I know we’ve been hearing a lot about that from other companies. I was wondering if you see that as an ongoing challenge for MVE and your other businesses, and if you’re able to transfer any increases in rate pricing to customers?
Jerrell Shelton: Yeah. Michael, the -- we’re not immune to the problems of the supply chain. They’ve gotten to be pervasive in worldwide. So we do see them continuing, but they are not problems that we can’t manage through. The most effective is MVE. But we -- these are manageable problems. We think they’re going for another quarter or two, but that time we think the supply chain will be in better order.
Michael Jones: Great. Thank you very much.
Operator: Our next question comes from the line of John Sourbeer with UBS. You may proceed with your question.
John Sourbeer: Congrats on the quarter and thanks for taking my question. Just curious, probably, market biotech funding was pretty strong in 2022, maybe second best year ever. But it’s been a little light year-to-date. Have you noticed any changes year-to-date in your clinical trial business or any color that you can provide on RFPs or what portion of that trial business is pre-revenue biotech?
Jerrell Shelton: I will let Mark -- Dr. Sawicki answer that. He is close to that market and we haven’t seen much, but go ahead, Mark.
Dr. Mark Sawicki: Yeah. No. Activity has been robust. We have not seen any real issue as it relates to clinical activity. I think you saw that we increased our overall clinical trial count to 602 programs overall, which is extremely positive. And the companies who are in cell and gene space are really well funded and continue to be well funded based on a record year of fundraising last year about $23 billion. So we’re very confident that that will continue.
Jerrell Shelton: And if you drill down even a little bit further, you look at our current performance for Cryoport systems and Mark was referring to the 602 clinical trials and we had about a 34% five-year CAGR on clinical trial growth for the company and for Cryoport systems in particular look at the commercial biopharma revenue increased in Q4 by about 44%. The non-commercial biopharma for Cryoport systems increased about by 41%. So we’re continuing to see significant growth in the biopharma market. Our overall revenue for biopharma is about 80% of our total business. So we’re very bullish about the outlook going forward.
Robert Stefanovich: Maybe to put a bow on it just to overkill this question, because I know the markets fixated on it, John, and I do appreciate your firm’s conference call earlier today, which certainly seemed bullish from that key opinion leader’s point of view. But we don’t see any slowdown. And then we looked at Repugene and ICON and Charles River and Lonza and Danaher and others and they’re not seeing it either, cell and gene is just strong period.
John Sourbeer: Right. That’s good to hear and thanks for color there. I guess this on new contract wins continue to ramp there, can you talk a little bit of competitive contract wins you’re seeing there and do you think you’re continuing to take share in any way to look at what you think your kind of normalized Phase 3 market share might be if you kind of backed out of -- some of those COVID trials?
Jerrell Shelton: Yeah. I mean, honestly, the COVID trials really have very, very minimal impact on our overall portfolio. We do believe we’re going to continue to capture share. We’ve shown and demonstrated quarter-after-quarter, year-after-year share capture in the cell and gene space. And as we continue to mature our platform, and diversify it with acquisitions like MVE and CRYOPDP, we believe that that’s going to continue, and if not, have the opportunity to accelerate.
John Sourbeer: Okay. And then last one for me, just maybe following up on the MVE questions earlier, just on the shipping issues, do you think that they’re going to be, I guess, additional maybe or even increasing impacts from that into the year -- into 2022? Was that more kind of 4Q, saying, one-time issue? And just confirmed there’s been kind of no impact in any other areas of the business there?
Jerrell Shelton: Well, first of all, there’s no impact in any other part of the business. But -- and to answer your question, I don’t -- we don’t foresee that happening. This was situational, because of the supply chain condition right now. But could it happen in the future? Certainly, it could. But we don’t foresee that. And certainly we’re taking -- at every event we take extra caution to make sure there’s not a repetition of any event that we’ve experienced so far. So we’re -- I don’t think you can -- you -- we -- you’ll see a disruption in the future.
Robert Stefanovich: Yeah. And the backlog continues to be very, very strong for MVE. We are expanding our manufacturing capabilities to meet the demand. So I think that’s important to note as well.
John Sourbeer: Great color. Thanks for taking my questions and congrats on the quarter.
Jerrell Shelton: Thank you.
Operator: The next question comes from the line of David Saxon with Needham & Co. You may proceed with your question.
David Saxon: Hi. Good afternoon and thanks for taking the questions. My first is just on the fourth quarter revenue. I mean by our math, CRYOPDP was up kind of in the mid-teens range. MVE backing out that $2 million headwind was about the same and you indicated in response to an earlier question, these two assets were growing kind of mid-20% range earlier in the year. So I was just wondering what caused the slowdown there in the fourth quarter. And then kind of along the same lines, commercial revenue was kind of low single-digit sequentially. So just wondering if that was in line with your expectations, and if so, I guess, when do you think that we will start to see that sequential commercial revenue growth really start to accelerate? I’ll have one follow up.
Robert Stefanovich: Yeah. Maybe just to address the revenue growth. You’re absolutely right. Overall, year-over-year, if you want to look at some of the historic information is in the high 20s growth year-over-year both CRYOPDP and MVE. We did see somewhat of a slowdown, not that significant, but CRYOPDP grew about 18% and without that slippage for MVE, MVE grew about 21%. So there has been some impact in Q4 just related to the overall supply chain challenges, inflationary trends and so forth. Initiatives have been already implemented. Some of those take place immediately. Some of those happen over time. One example is, certain price increases. In terms of commercial revenue, I’ll let Mark speak to the outlook for commercial revenue and the Q4 results.
Dr. Mark Sawicki: Yeah. Thanks, Robert. If you take a look at all of the -- our commercial customers commentaries and their conversations, the biggest issue right now isn’t demand, its manufacturing capacity. And so, demand is outstripping capacity at this point in time. There’s a substantial amount of new capacity coming online. Kite is opening a new facility in Frederick, Maryland. BMS is opening a huge facility outside of Amsterdam. Novartis is bringing the new Stein facility in Switzerland online. Those are going to have a significant impact on capacity constraints and once they open, that’ll -- you’ll see that ramp accelerate fairly significantly. The second-line aspect here is the move from third-line to second-line for YESCARTA and BREYANZI, which will also substantially increase the patient population, the addressable patient population, which will also significantly increased demand on top of the capacity expansion.
David Saxon: Okay. Got it. Thanks for that. And then I know you didn’t -- you don’t give guidance, but I’ll take a shot at it. So, just given that there’s a wide range of estimates for 2022. Just wanted to hear your comfort level with current consensus according to my screen it’s around 270. Do you think that adequately reflects the net impact of the $2 million head -- MVE headwind, New Prague and maybe some of these capacity constraints you just mentioned?
Jerrell Shelton: Well, in effect, indirectly, you’re asking us to give guidance, which we cannot do. We can, we can, however. Again, we can restate a few things. One in terms of the revenue growth overall, we have put some aspirational goals in place for 2025 to reach $650 million to $750 million. That is still our goal. And then in terms of starting to see some of the commercial revenue ramp over the next quarters and months and years, we also expect to see an improvement in gross margin to our target of 55% and adjusted EBITDA of 30% unlocked firm. So those are things that we still can reiterate. And then, again, the market dynamics within biopharma continue to be very strong. We have that flywheel of clinical trials that continues to grow and his clinical trials continue to migrate from Phase 1 to Phase 2 and Phase 2 to Phase 3 up to commercialization. So we have to understand we’re at the very early stages of this market maturing and commercial therapies coming to market.
David Saxon: Got it. Thanks so much for taking the questions.
Jerrell Shelton: Welcome.
Operator: [Operator Instructions] Our next question comes from the line of Brandon Couillard with Jefferies. You may you may proceed with your question.
Brandon Couillard: All right. Butchered that one.
Jerrell Shelton: Exactly.
Brandon Couillard: I wasn’t sure if that was me or not? A couple of questions, guys. I guess, first Jerry, any change in the tenor of your conversations on the M&A front, given the volatility of the equity market more recently? Do you see that maybe making some target assets a little more reasonable and maybe just an update kind of on general thinking and priorities?
Jerrell Shelton: Yeah. Brandon, it’s good to hear from you. We -- I don’t -- we don’t say anything as a result of the recent softening in the market. And then certainly private companies are still holding values up. But we do have a robust M&A pipeline and we do pay close attention to the workflows of our clients and we will continue to look and entertain acquisitions that help us move forward and that assist our clients and their workflows. But we do have a robust pipeline, we’ll continue to look at biostorage and logistics and software and services and that sort of thing. But that’s -- nothing has changed for us.
Robert Stefanovich: And I think just to add to it, we were smart and are lucky in terms of raising the funds when we did. So we did the convertible. We have now a strong cash balance of $629 million in cash and short-term investments. We are very well positioned. One to drive the organic growth to drive our initiatives, such as the global supply chain centers, engineering developments, such as the Cryosphere, and then also continue the M&A strategy. But the discipline, the criteria that we’ve talked about in the past haven’t changed, in terms of the right corporate culture, creative, a good fit for the overall solution that we want to offer to the cell and gene therapy space.
Brandon Couillard: Okay. And then you call out a few new initiatives on tap for 2022, including the Cryosphere and then expanded biostorage services. Is there any way to kind of -- do you think that those will be materially additive to incremental revenues in 2022? And with Cryosphere can that be swapped out with existing commercial products, whereas do we think about it as more of a solution that are likely to be adopted for earlier stage programs? Thanks.
Jerrell Shelton: Yeah. So we’ll take those in turn. So, as it relates to the two global bioservices centers that we’re opening, one in New Jersey, one in Houston, Texas, they will be opening this quarter. So the construction is complete. We actually have CEOs on the facilities at this point in time and audits are active. So we will see a revenue contribution associated with those assets this year. Obviously, it takes time to go through audit processes and things. So the impact in 2022 will be a material impact, I would say, against the overall business. But in 2023, you’ll start to see substantial contribution from those facilities as it relates to the historical Cryoport systems business. As it relates to Cryosphere, so Cryosphere itself is a next-generation technology. And so, in essence, it’s been built and designed to provide substantial risk mitigation in the field and convey substantial benefits to our client base as it relates to securitization and user -- usability, mobility related consideration, security and other things. So we think it’s going to have very, very strong adoption across the board. And in fact, we’ve already had a commitment on some of our commercial clients to transition product into that equipment over time. However, the overall market is very, very rapidly growing. As we had mentioned, we continue to pick up share, so the historical equipment will still have a significant utility in use. This is just on top of that. So it’ll increase our overall capacity and give us a lot more flexibility long-term.
Brandon Couillard: Okay. That’s great. I’ll hop back in the key. Thanks.
Operator: Our next question comes from the line of David Larsen with BTIG. You may proceed with your question.
David Larsen: Hi. Robert, can you talk a little bit about the SG&A costs. It looks like on a sequential basis they popped up a little bit higher than what we had been modeling. Just any color or thoughts there would be helpful. Thanks a lot.
Robert Stefanovich: Yes. And you’re right. You look at the increase in SG&A. There are a number of factors that play a role there. One, we have continued throughout our business units to increase the resources and this is for a number of reasons. One, we’re stepping up engineering and development work by adding resources, but more importantly, as we’re getting ready to launch the bioservices centers both in New Jersey and in Texas, we’ve added resources for that purpose. Yeah, then as you usually expect for year-end, we typically also see additional costs related to some of the implementation of SOX work and audit just because of the added MVE and CRYOPDP business units. But, overall, it’s really adding capacity. If you look at the general performance from an operating perspective, a number of things, one, from an adjusted EBITDA perspective, we have a $19 million in adjusted EBITDA for the year compared to about breakeven last year. We increased cash provided by operations by about $8.1 million, which is a $23 million increase compared to last year as well. So a number of things that are moving in the right direction, but at the same time, again, understanding that we’re building out for what we expect a substantial increase in commercial activity over the next years, that is part of the increase in SG&A expense.
David Larsen: Okay. Great. Thanks. That’s very helpful. And then, I noticed that the -- there’s like a 14% increase in the number of clinical trials you’re supporting. But the organic revenue growth rate was much higher than that. What is driving, which seems to be incremental in cells into those clinical trials or incremental revenue per clinical trial, just any thoughts or color there would be helpful.
Jerrell Shelton: It’s very, very simple. So the strategy of diversification of our revenue streams is paying off. That’s very, very straightforward.
David Larsen: Okay. Multiple revenue…
Jerrell Shelton: Dr. Sawicki, do you want to elaborate on that?
Dr. Mark Sawicki: Sure. Yeah.
David Larsen: A little elaboration would be great.
Dr. Mark Sawicki: So we’re moving beyond strictly just transportation as it relates to support of these clinical programs, right. And so we -- historically, we’ve been packaging and distribution. We now are pulling in synergy-related revenue out of the CRYOPDP acquisition. Our consulting business is maturing, so folks are coming to us to support a lot more developmental work as it relates to clinical activity. And so the average spend on a clinical trial for us is increasing and that’s where you see that that manifested acceleration.
Robert Stefanovich: I think another key point in there…
David Larsen: Okay.
Robert Stefanovich: … not to contradict Mark at all, because it’s just additive is that, the pipeline is maturing, you’re seeing one turn into twos, twos turn into threes, more patient population in the later stage trials.
David Larsen: Okay. Great. Thanks very much.
Operator: At this time, we have reached the end of the question-and-answer session. And I will now turn the call back over to Jerry for any closing remarks.
Jerrell Shelton: Thank you for your questions. We appreciate them. In closing, 2021 was a very successful year for Cryoport. With top -- with the solid topline growth, a record number of clinical trials being supported, further expansion of our geographic footprint and a closing balance sheet reflecting our strongest position in the company’s history. This was all due to our diverse brand portfolio, wide global reach and talented employees who successfully are executing our winning strategy. We believe 2022 will be another year of strong results. Thank you for joining us today. We appreciate your continuing support and interest in Cryoport and we look forward to speaking with you regarding our progress again next quarter. For now we bid you a good evening.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation and have a great day.